Operator: Ladies and gentlemen, thank you for standing by. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Compass Minerals Third Quarter Fiscal Year 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session.  Thank you. It is now my pleasure to turn todayâs call over to Valerie Tymosko. Please go ahead.
Valerie Tymosko: Thank you, operator. Good morning, and welcome to the Compass Minerals fiscal 2022 third quarter earnings conference. Today, we will discuss our recent results and our outlook for the remainder of fiscal 2022. We will begin with prepared remarks from our President and CEO, Kevin Crutchfield; and our CFO, Lorin Crenshaw. Joining in for the question-and-answer portion of the call will be George Schuller, our Chief Operations Officer; Jamie Standen, our Chief Commercial Officer; and Chris Yandell, our Head of Lithium. Before we get started, I will remind everyone that the remarks we make today reflect financial and operational outlook as of today's date, August 5, 2022. These outlooks entail assumptions and expectations that involve risks and uncertainties that could cause the company's actual results to differ materially. A discussion of these risks can be found in our SEC filings located online at investors.compassminerals.com. Our remarks today also include certain non-GAAP financial measures. You can find reconciliations of these items in our earnings release or in our presentation, both of which are also available online. The results in our earnings release issued last night and presented during this call reflect only the continuing operations of the business other than amounts pertaining to the condensed consolidated statements of cash flows or unless noted otherwise. The company's fiscal 2022 third quarter results and fiscal 2022 outlook in the earnings release and discussed during this earnings call reflects the previously announced change in fiscal year-end from December 31 to September 30. All year-over-year comparisons to fiscal 2022 third quarter results refer to the corresponding period ending June 30, 2021. I will now turn the call over to Kevin.
Kevin Crutchfield: Thanks, Valerie and good morning, everyone. Thanks for joining the call today and for your continued interest in the Compass Minerals transformation. Over the last couple of years weâve embarked on a journey to expand our position as a premier essentials minerals company by moving into select, high return adjacent markets, leveraging our core competencies which includes safe and productive mineral extraction, experience an optimizing mining and manufacturing assets and logistics and supply chain expertise. At the same time we continue to focus on safety and transforming our internal culture, building execution muscle, increasing our focus on diversity and inclusion, and staying true to our core progress of helping to keep people safe, feeding the world and enriching lives. We made progress in several of these areas this year-to-date and this past quarter. First, we finished year-to-date with a total case incident rate or TCIR of just under 1, reflecting a roughly 58% improvement year-over-year. I want to express my gratitude and congratulations to each of our employees around the world for this outstanding safety performance with a particular call out to those who lend their experience, talent and hard work at one of our underground mining operations where on a daily basis they can face complex and challenging circumstances. I appreciate the level of care, focus, discipline and collaboration, essential to operating safely and ensuring that each employee returns home to their family in the same condition as they live. Even with this world class safety performance, our team has delivered year-to-date, we are maintaining a vigilant focus on the engineering solutions and behavior based safety training to continue minimizing risks and to ensure a safe and healthy work environment. From a portfolio management perspective, very early this quarter in April we closed on the sale of our South American Chemicals business, which represented another significant step in the prioritization of our core assets. With the sale, we now completed the divestment of all of our businesses in that region and successfully completed this phase of reshaping our portfolio. That same month we also received the maximum possible $18.5 million earn out related to the sale of our South American Plant Nutrition business to ICL last year. The proceeds from these two events enabled us to continue our debt reduction efforts. Notably the impact of our efforts recently had the effect of Moodyâs upgrading the ratings of our senior secured revolving credit facility and senior secured term debt to Ba1 from Ba2. This upgrade reflects the substantial reduction in the proportion of secured debt and our capital structure resulting from our disciplined application of divestiture proceeds to a debt reduction over the past several quarters. We also successfully secured an amendment to our credit facility this quarter, adjusting our net leverage covenant over the next eight quarters to levels that provide considerable financial flexibility. We view this amendment as effectively serving as a bridge between fiscal 2022 inflationary dynamic has compressed our Salt segment margins and the expected amount of profit recovery in fiscal â23 resulting from efforts underway right now to pass through cost as part of the North America highway salt bidding season. From a leadership and governance perspective, the recent additions of two new Board members, Richard Dealy in May and Melissa Miller in July, bolstered our Board of Directors with leaders who add considerable operational, financial and human capital management expertise, depth and knowledge. We're thrilled to have both of them on board and look forward to their contributions as thought partners, along with our transformational journey. Moving to our financial performance in the third fiscal quarter, we delivered results in line with our expectations heading into the quarter with revenue rising 8% to $215 million and adjusted EBITDA coming in at $29 million. With three quarters of our fiscal year now behind us and roughly 80% of the adjusted EBITDA we expect to achieve the fiscal year having now been delivered, we're focused on finishing the year strong and positioning the company to deliver improved financial results in fiscal â23, more in line with underlying earnings power of our business. At this time, I'd like to provide some early color on how the 2023 North America deicing bid season, which commenced in April, is unfolding to date. As a reminder, the contract architecture commonly employed across our North America deicing business does not allow us to pass through in real time the substantial inflationary costs that we withstood in fiscal â22. As a result, whereas over the past 10 years, our Salt franchise has on average delivered profitability levels of around $20 per ton as measured by adjusted EBITDA return. This year, the business is tracking to deliver adjusted EBITDA more in line with $15 per ton. That $5 per ton difference represents roughly a $60 million difference at the midpoint of our projected fiscal 2022 Salt sales volumes. An essential key to restoring the profitability of our Salt business is therefore successfully passing through the costs we've incurred in 2022 as a part of the 2023 salt bidding season, which is approximately 75% complete at this time. A lot can happen in the final stages of the bid season. However, two main themes have emerged thus far. First, customer inventory levels were not elevated exiting last winter and seemed to have ended this winter essentially unchanged year-over-year. As preliminary evidence of this, in the states we've bid on in season to date, the aggregate amount of salt requested is roughly in line with the volumes those same states requested a year ago. So, on the heels of what was ultimately a relatively average winter across the entire market, customer inventories also ended the season at average levels. This KPI is constructive as we estimate sales volumes in 2023, assuming average winter weather. The second theme that has emerged is signs that all suppliers are striving to restore profitability to pre-inflationary levels akin to 2021 levels. This is evidenced by the fact that in the aggregate for the states where we bid on season-to-date and won, or where our supply contract rolled over, the weighted average selling price increase year-over-year is up roughly 14%. At such pricing levels the implied gross profit per ton in those states would indeed be approximately restored to more historical levels, which as we've previously communicated is our primary objective this bid season. So overall pricing indications to date are favorable. Of course, price is only one aspect of value capture. Volume and mix are other key components. As I indicated on last quarter's earnings call, in executing our bidding and production strategy, our focus will be to carefully balance our commitment to serving our customers when and where it matters with a need to maximize profitability and minimize the associated costs of suboptimal logistics moves. This bid season we have and will continue to prioritize value over volume, working to strategically place our tons where margin capture can be improved over this past winter season. Therefore we expect our bid commitments to be down approximately 13% versus the prior bid season. With that in mind, in addition to restoring profitability through pricing actions, we're also very focused on recalibrating our mix even further toward geographies, where we have natural competitive advantages that enhance our profitability, even if that entails curtailing production volumes to some extent. Overall considerable amount of work lies before us. However, we're encouraged by the tenor and indications of the North American salt bidding season to date. Now I'd like to provide an update on our continued efforts to sustainably develop our approximately 2.4 million metric ton LCE resource on the Great Salt Lake. First, we recently announced a non-binding MOU with both LG Energy Solution and Ford Motor Company, envisioning a commitment for the majority of our planned annual Phase 1 production starting in 2025. Each MOU also allows for a commitment of Phase 2 production once our project is at full scale. In the coming months, we'll work to evolve these MOUs into binding supply agreements as a part of our broader lithium projectâs commercial offtake strategy. Our lithium vision is to support the North American battery market by accelerating the development of a sustainable and secure domestic lithium supply chain, finalizing commercial relationships with proven manufacturers like LGES and Ford will help enable that vision and assist in solidifying a U.S. supply chain thatâs essential to facilitate the electrification of the transportation sector and broader energy transition. We've also continued to build out our lithium leadership team, both through leveraging internal talent and bringing in outside expertise with proven experience in lithium specific processes, technology and product development. As previously announced on September 15th, we'll host a Lithium Strategy Update Call. We look forward to sharing at that time more specific details on our path to maximize the value of our lithium resource, particularly in the areas of technology, operating in capital cost intensity, initial results of our third party lifecycle assessment, and funding strategies among other critical facets. On the topic of possible lithium funding strategies, a recent Bloomberg article speculated that Compass Minerals was exploring the sale of our UK salt operations. To be clear, a sale of our UK operations has not been authorized by our Board of Directors. However, we do consistently review our asset portfolio with an eye towards maximizing value for our shareholders. As we consider sources of capital to fund our lithium development project, one potential option among other alternatives is to monetize an existing asset at a fair valuation. Then redeploy the resulting proceeds into a faster growing, higher returning asset, enhancing value and representing an attractive cost to capital. I'd like to now provide a brief update on Fortress North America, the next generation fire retardant technology company we've invested in that is leveraging the magnesium chloride from our Ogden facility to produce a proprietary portfolio of innovative environmentally friendly aerial and ground retardant formulations to fight wildfires and abate fire risk. After several years in startup mode, Fortress is gradually transitioning from the development stage towards the commercialization of its portfolio. The qualifying process with U.S. Forest Service is a long and arduous one. However, Fortress is the first new company in over 20 years to successfully get to the final approval stage with the U.S. Forest Service. We expect that heading into the 2023 fire season, two aerial retardants will be listed on the U.S. Forest Services qualified product list as fully qualified products, positioning Fortress to competitively bid on multiple airbases with U.S. Forest Service, USDA and Cal Fire in the 2023 season and beyond. In the meantime, partnering with Compass Minerals year-to-date, Fortress has been building out its supply chain and logistics functions, positioning itself to be ready to scale its manufacturing capacity to meet expected demand. We believe the company has adequate capital to ramp up full commercialization and build out manufacturing infrastructure, production facilities, and staffing to capture the substantial share of a market that we estimate to represent a total addressable North American market on the order of 80 million gallons or over $300 million from a revenue perspective. We're excited about the prospects for this business and we'll share updates as Fortress gains traction over the coming quarters. Finally, the last topic I would like to touch on briefly relates to the decline in our company's valuation since our last earnings call. My view is that the first half of the quarter saw our shares underperform largely against the backdrop of the May reduction in our full year earnings guidance. The second half of the quarter witnessed a broader market decline due to a variety of reasons, including higher interest rates, widening credit spreads, particularly for industrial companies with credit ratings similar to ours, a selloff in the shares of companies within the fertilizer sector and significant valuation compression across the lithium sector. We're confident we will in time be able to rebound from this decline as we successfully restore the profitability of our Salt segment, which would have the added benefit of allowing us to deleverage. Against this backdrop I would like to emphasize several points about the long-term prospects of our company. First, while interest rates and discount rates may rise and fall over time, fundamentally we don't believe anything has changed in the last 90 days regarding the long run earnings power of either our Salt or Plant Nutrition businesses. In fact, we're increasingly confident in the prospect of restoring the profitability of our Salt business, given the tone that the bid season today. Second, our Salt business, which comprises the bulk of our adjusted EBITDA has historically proven itself to be highly recession resistant. Its sales volumes are mainly driven by the weather, which has no correlation with global economic growth, rising interest rates or any other notable macroeconomic factors. Third, we believe that the growing market need for domestically sourced lithium continues to represent an attractive, durable, secular trend, and that the long-term prospects for our lithium resource are in our view, largely not reflected at our current share price. And finally, our financial flexibility has only been enhanced in recent months, and I believe we're well positioned to successfully manage through a wide range of scenarios over the coming quarters. All taken together, I firmly believe the long-term prospects for Compass Minerals remain very attractive as we successfully execute on our strategy to reduce weather dependent portion of our earnings mix while accelerating our growth. With that, I'll turn the call over to Lorin, who will discuss our financial performance in greater detail and our updated outlook for the balance of the 2022 fiscal year. Lorin?
Lorin Crenshaw: Thank you, Kevin. Consolidated revenue was $214.7 million for the third quarter of fiscal 2022, up 8% year-over-year, primarily driven by favorable Salt segment average pricing up 8%. The favorable price impact on revenue was partially offset by lower plant nutrition sales volumes year-over-year due to constrained inventory levels and subpar production yields. Despite the revenue increase, our consolidated operating earnings decline $4.4 million to an operating loss of $3.5 million and adjusted EBITDA declined by the same amount reflecting continued pressure on production and distribution costs within the Salt segment. Operating and adjusted EBITDA margins compressed year-over-year by 210 and 324 basis points respectively. On a segment basis, Salt revenue totaled $156.2 million for the third quarter of fiscal 2022, up 10% year-over-year driven by 2% growth in sales volumes and an approximate 8% increase in price. Both the highway and consumer and industrial businesses reflected modest growth in sales volumes. Highway average selling price was up 7% year-over-year, primarily due to product and regional mix. C&I pricing rose roughly 9% year-over-year, reflecting our efforts to implement broad based price increases within most product categories in response to the high inflation environment, enabling us to recover a portion of the overall inflation impact on our profitability without significant delay. Despite higher revenue, Salt operating earnings declined 35% year-over-year to $12.4 million, while EBITDA declined 25% to $27.7 million, primarily reflecting higher production and distribution costs. EBITDA per ton declined by $6 year-over-year, despite higher pricing, driven by higher production and distribution costs. From a cost perspective, roughly two-thirds of the increase was driven by higher cash costs, which rose 22% to roughly $45 per ton and one-third by higher shipping and handling costs, which rose 16% to roughly $31 per ton. The increase in per unit cash costs was primarily driven by inflationary impacts, lower absorption and higher maintenance costs. The increase in per unit shipping and handling costs primarily reflected the combination of inflationary impacts such as fuel surcharges and higher costs to serve our markets due to geographic mix. Turning to our Plant Nutrition segment, revenue for the third quarter rose 3% to $55.6 million year-over-year due to higher pricing, despite a 24% decline in volume. Specifically average sales price rose 12% sequentially, and was up 36% year-over-year reflecting the continuous supply-demand dynamics impacting the global fertilizer sector at this time. Operating earnings were $10.6 million, up from $0.7 million, and EBITDA was $19.4 million nearly doubling year-over-year. Higher pricing, more than offset the impact of lower production volumes on sales in per unit cash costs as reflected in an operating margin of 19%, up from 1% in the comparable year ago period. From a balance sheet perspective, the past several months have been noteworthy on several fronts. The successful amendment of our credit facility in June provided substantially greater financial flexibility to manage through the ongoing restoration of profitability in our Salt segment. From a rating agency perspective, both S&P in June, and Moody's in July reaffirmed our credit rating. And finally, we extended our AR securitization facility by two years to 2025 and as a result do not have any debt maturities prior to the $250 million of senior notes due in 2024. To elaborate more on the credit amendment, the 8-K we filed in June provides details on the change, which allows higher net leverage over the next eight quarters. Our new leverage grid starts out at five and a half times for the June and September 2022 quarters, steps down to five times for the subsequent four quarters and eventually returns back to four and a half times for the quarter ended June 2024 and thereafter. It's important to note that we didn't establish our new covenant schedule, assuming a normal fiscal 2023 winter. If we had, it would reflect a much lower leverage grid. Instead to be more conservative, we assumed a relatively warmer than usually winter occurs in fiscal 2023. As a result, we expect to have adequate flexibility to manage through whatever winter weather scenario we confront. Overall, we are pleased with the outcome and confident in our ability to manage through whatever weather scenario comes our way over the coming quarters. For the quarter, we ended June with net debt of $839 million, down $76 million from our 2021 fiscal year in and with net leverage of approximately 4.4 times as defined by our credit agreement, which allows for the add back of non-cash and non-recurring items of approximately $40 million for the trailing 12-month period. Overall, the combination of our financial flexibility with over $240 million of liquidity, as of quarter end. Our manageable debt maturity profile and amended credit facility give us confidence that we are well positioned to manage through the current period and bridge to the ultimate restoration of the profitability of our Salt business, which is expected to drive the next leg of de-leveraging. Now turning to our outlook for the balance of the fiscal year. The midpoint of our adjusted EBITDA guidance is unchanged, but we've narrowed the range to $175 million to $195 million from our previous range of $170 million to $200 million. In concert, we are narrowing our second half adjusted EBITDA guidance for Salt to a range of $55 million to $65 million and for Plant Nutrition to a range of $37 million to $43 million. As we evaluate the range of our guidance for the fourth quarter among the key drivers of potential upside or downside to the midpoint of that range are the same themes that have impacted our results throughout the year, including production performance at our Ogden facility, the impact of global fertilizer market dynamics on SOP price levels and sales volumes, and the direction of the trend of inflationary pressures on key inputs. From a CapEx perspective, our guidance has drifted towards the lower end of our prior range at approximately $100 million, reflecting a $5 million reduction at the midpoint, largely due to the timing and sequencing of spending related to certain projects. Finally, in the past two quarters, we recorded non-cash tax expenses in the form of valuation allowances against certain U.S. deferred tax assets. Our effective tax rate for the year is approximately 35% excluding the additional expense from the valuation allowances and a negative 298%, including those expenses. We are likely to take an additional allowance in the fourth quarter, assuming our earnings outlook tracks in line with our current expectations. As we approach our next fiscal year, our focus will remain on restoring the profitability of our Salt business positioning our Ogden facility delivered more consistent, predictable, and reliable SOP production, identifying and executing productivity initiatives that allow us to offset the threat of additional inflationary pressures, and advancing our efforts to expand our premier essential minerals franchise into the attractive markets, the lithium and next generation fire retardants. With that, I will turn it back to the operator to open the lines for the Q&A session. Operator?
Operator:  Your first question comes from the line of Joel Jackson with BMO Capital Markets. Your line is open.
Unidentified Analyst: Hi. Yes, this is Alex on for Joe Jackson. Thanks for taking my questions. I'm going to ask them one by one. Could you help, on 14% higher season pricing, could you help us quantify the impact on the net Salt margins in fiscal 2023? Whether that be in percentage terms or per ton terms and would you expect this number to be closer to the $15 per ton or the $20 per ton of adjusted EBITDA that you mentioned for fiscal 2023?
Kevin Crutchfield: Yes, good morning. This is Kevin. Let me take a shot at that and maybe Lorin or Jamie would want to add a little color. I mean, I think there are two components that are important to remember, one is price, the other is our mix. And as we said, last quarter, one of the things we wanted to do this quarter was not only move price up, but to have a portfolio where we can take advantage of natural competitive advantages, but from a logistic standpoint and supply and handling and that sort of thing. But on a year-over-year basis, 14% up, we believe puts us back in that zip code of where we were in 2021. I'm not going to get too specific on it because we're still working through our internal plans, but it's a significant move towards restoration of margins that have been more typical and historical here at Compass on the Salt side. Jamie, Lorin, anything to add to that?
Lorin Crenshaw: I would just remind you of that when you think about the tons we're talking about, if you take the midpoint of our Salt segment volume, you would back out the C&I of about 2 million, then you'd back out another 2 million for chemicals, mag chloride UK. And so you're really talking about that 8 million of tons that would be down the 13% and that we'd enjoy the 14% increase in average selling price. So just want to make sure you're focused on the right numbers.
Unidentified Analyst: Perfect.
Lorin Crenshaw: Your next question?
Unidentified Analyst: And yes, I have one on lithium. So for the Ford and LG MOUâs it would seem that previously that you're looking to secure a upfront capital offtake given that LG seems to be signing these MOUs with other people as well, why not hold up for deals with upfront capital?
Kevin Crutchfield: So nothing that we are in discussions around would preclude any member of the value chain from participating in any way with respect to an upfront capital payment or investment at the asset level. As we think about moving forward prudently with lithium thereâs a variety of options that are on the table. The first one would be free cash flow and Jamie and his team have done a great job so far in terms of taking the first step towards restoring the profitability of the Salt business and that's going to allow us to deleverage and that cash flow is one source of capital. Prepaid capital in connection with an offtake agreement is another option that we might consider. What's also common within the mining sector, our streaming contracts where you part with some fraction of the volume in exchange for an upfront payment, then there's equity at the asset level, which would be an option and obviously equity at the Compass level. All of these options are options that are on the table and as we advance discussions we'll hear more with the passage of time.
Unidentified Analyst: All right. That makes sense. And just a follow up to that, what do you think are some of the key requirements that will be needed to kind of convert some of these MOUs to like binding offtakes?
Chris Yandell: Yes, so this is Chris. I think when you look at the MOUs for binding perspective, one of the things is making sure you have compliments in the project. There's always due diligence that goes on prior to signing binding agreements. And it's just a relationship that you develop with the customer base as well, making sure that it's a good fit for both of you. Once you get past those things, it's similar to any other contracts we deal in.
Operator: Your next question comes from the line of Seth Goldstein with Morningstar. Your line is open.
Seth Goldstein: Thanks for taking my questions. It seems like the bids strategy has changed a little bit in the past couple years, maybe last year you prioritized volumes and this year's prices and profits. How should we think about the bid strategy going forward in future years?
Kevin Crutchfield: Yes, good morning Seth. Itâs Kevin. Before what we were trying to do was just grab back market share that we lost kind of post strike et cetera. And we approached this year with very much a value over volume strategy, and we maintain a lot of discipline throughout the bid season. And I think a worthy data point to note too, is if you look at the average wins across our served market, we're up at least 500 basis points over the average of all of our competitors. So I think it was a very focused strategy, both on being -- maintaining price discipline, but also a focus on natural geographic markets. So what I would say you could expect going forward is a strategy very similar to that. And to the extent we have to adjust on the production side we will make those adjustments, but we want our assets to run pretty hard as well. So finding that balance I think will be a key part of the strategy going forward.
Seth Goldstein: That makes sense. Thank you. And then can you provide an update on the Plant Nutrition business? It seemed like the challenges remained. Is there your path forward towards the restorational volumes and cost reductions from here?
Kevin Crutchfield: George, is here. I'll let George take that one.
George Schuller:
dykes: So again, there's a lot of pieces to this. I've spoken in the past about the use of KCl in regards to supplementing our production there. Again, the price of KCl does not allow that to take place at this point in time. But again, there's a lot of effort going into our entire process out at all and so I'm confident, but it's going to still take us some time to get to that point.
Seth Goldstein: Okay. I'll pass it on from there. Thank you.
Kevin Crutchfield: Thank you.
Operator: Your next question is from the line of Chris Shaw with Monness, Crespi. Your line is open.
Christopher Shaw: Hey, good morning everyone. How are you doing?
Kevin Crutchfield: Good morning.
Christopher Shaw: So with Salt, I know you said that you expect margins to come back with the strong pricing you're getting in the bid season, but the lower volumes, I always, I remember sort of thinking about Goderich in particular that, you were pursuing some volumes to leverage the product coming out of there and it's a high cost asset. So if you're losing say 13% volumes, is that detrimental to margin. So is that all factored in I assume to the sort of guides you're giving on margins, so it's, sort of limited guides, but I just worried about that when I saw the number initially.
Jamie Standen: Yes, this is Jamie; I'll take that one, Kevin. We don't expect to even need to slow Goderich down. Given our platform and the location of our mine in Louisiana and our mine up there in Goderich, we can actually make shifts. And while yes, we're taking our volume back, the tons we are reducing are low margin tons that are kind of leaving our portfolio where we've added high margin tons, and we've jettisoned low margin tons. We can also adjust how we serve. We call it moving our north, south line, north or south and so we can keep Goderich running. We can move that line a bit south. Inventories are very tight and lean in the south, so we can push that line down and still run our both sites optimally.
Christopher Shaw: Okay and to continue on Salt, I know the, so much of the issue on the cost side was transportation, the higher energy shipping. How are you contracted for that for the upcoming season? I mean, if -- you know oil is coming down already, I assume the shipping rates might well do the same. So are you locked in at a higher rate going into the season? Is that flexible? Was it surcharges? I can't remember, because I just, I don't want, I was worried that again, thinking that you might be locked into a higher level because just to make sure you had some sort of certainty on the transportation costs?
Kevin Crutchfield: Yes, so we are exposed to oil primarily. We have multi-year transportation agreements on the barge side and on the vessel side as well as rail. So we've made it -- we've made our estimate of what Brent oil looks like as we look out into 2023 to the extent it's lower than we expected, which it's, it's now lower than it was two months ago at $94. That would accrete to us. And if it's, where we expected, then it's going to be at that level. And if it were to go higher, we could leak some value there. But again, just as we're doing this year, the industry in general tends to recapture that. It's just that timing difference. So we are mostly impacted by oil as it relates to transportation.
Christopher Shaw: So if it continues to go down, you'll benefit definitely heading into next year, next season?
Kevin Crutchfield: Correct, yes.
Christopher Shaw: All right. That's all I have. Thank you.
Operator:  Your next question comes from the line of Roger Spitz with Bank of America. Your line is open.
Roger Spitz: Thanks and good morning. First, I just wanted to make sure I understood correctly. When you said that your Salt for the coming season was up 500 bps over your competitors, are you saying that your price were up 14%, your competitor's prices in your view are up maybe 9%? Is that what you meant by that or did I misunderstand that?
Kevin Crutchfield: Exactly. That's exactly what we meant.
Roger Spitz: Perfect. Regarding the  of 24, I see the tension on both sides. You've got rising rates on the one hand, perhaps may -- having you think goes opportunistically moving forward, I suspect you wouldn't mind seeing some recovered EBITDA as you expect for the 2023 winter season. How do you think that's going to come down? Do you think you might wait for the time after you see that EBITDA recovery, but before the bonds go current to refine or do you think you might come sooner?
Kevin Crutchfield: I see. So today, given the extent to which credit spreads have gapped out, weâd probably be looking to convert that senior note to term debt. It's just less expensive and it also gives us debt to pay off. Is that your question?
Roger Spitz: Yes, that's a great answer. That's perfect answer, but thank you very much for that.
Kevin Crutchfield: Okay, thank you.
Operator: There are no further questions at this time. I will now turn the call back over to Mr. Kevin Crutchfield.
Kevin Crutchfield: I certainly appreciate everybody tuning in today and appreciate your continued interest and support of Compass Minerals and we look forward to keeping you updated in the coming quarters. Thank you everyone. Have a good day.
Operator: Ladies and gentlemen, thanks for participating. This concludes today's conference call. You may now disconnect.